Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Independence Realty Trust Q4 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you'd like to ask a question during that time, press star followed by the number one on your telephone keypad. If you like to withdraw your question, press star followed by the number one. I would now hand today's call over to Maddy Zimba. Please go ahead.
Maddy Zimba: Thank you, and good morning, everyone. Thank you for joining us to review Independence Realty Trust's fourth quarter and full year 2024 financial results. On the call with me today are Scott Schaeffer, Chief Executive Officer, Jim Sebra, Chief Financial Officer, and Janice Richards, Executive Vice President of Operations. Today's call is being webcast on our website at irotliving.com. There will be a replay of the call available via webcast on our investor relations website and telephonic link beginning at approximately 12 PM Eastern Time today. Before I turn the call over to Scott, I would like to remind everyone that there may be forward-looking statements made on this call. These forward-looking statements reflect IRT's current views with respect to future events and financial performance. Actual results could differ substantially and materially from what IRT is projecting. Such statements are made in good faith pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to IRT's press release, supplemental information, and filings with the SEC for factors that could affect the accuracy of our expectations or cause our future results to differ materially from those expectations. Participants may discuss non-GAAP financial measures during this call. A copy of IRT's earnings press release and supplemental information containing financial information, other statistical information, and a reconciliation of non-GAAP financial measures to the most direct comparable GAAP financial measures is attached to IRT's current report on Form 8-K, available at IRT's website under Investor Relations. IRT's other SEC filings are also available through this link. IRT does not undertake to update forward-looking statements on this call or with respect to matters described herein, except as may be required by law. With that, it's my pleasure to turn the call over to Scott Schaeffer.
Scott Schaeffer: Thanks, Maddy, and thank you all for joining us this morning. 2024 marked another strong year for IRT, both in terms of operational performance and in achieving strategic milestones that position our company for growth. Regarding operations, core FFO per share for the year of $1.16 was at the high end of guidance and was driven primarily by solid same-store NOI growth of 3.2%. Our regional leaders and leasing teams adapted to the changing market dynamics, including the impact of elevated supply, to achieve our goal of attaining higher stabilized occupancy while also managing average rent growth. During the year, we increased same-store average occupancy by 110 basis points to 95.2% and still achieved a 1.3% increase in average effective rental rates. These gains were supported by a solid resident renewal rate of 62.7%. Same-store results were further supported by the notable progress we made in advancing our value-add program. In the fourth quarter, we completed 395 units, achieving a weighted average return on investment of 15.1%. For the year, we completed 1,671 renovations that drove a $239 average increase in monthly rent per unit on renovated comps, equating to a 15% return on investment. In 2025, we look to capitalize on our solid occupancy levels and the improving rent rate environment by significantly accelerating value-add renovation volumes. During 2024, we also strengthened our portfolio and future growth by investing $240 million at a blended economic cap rate of 5.7% to acquire three properties in high-growth markets. These properties contain 908 units and expand our presence in Charlotte, Tampa, and additionally, we are under contract and expect to close this month on a 280-unit community in Indianapolis for $59.5 million. By expanding our footprint in these markets, our operating expenses should also benefit from enhanced scale and synergies. Regarding strategic milestones, in early 2024, we completed our portfolio optimization and deleveraging strategy, which we launched in the fourth quarter of 2023 with two objectives. First, to sell ten properties in order to reduce our presence in non-core markets, which would also improve our portfolio's overall quality and operating efficiency. And second, to significantly deleverage our balance sheet, thereby broadening our access to capital. Executing on this initiative significantly improved our financial flexibility and enabled us to become an investment-grade issuer. Proceeds from asset sales reduced our net debt to adjusted EBITDA nearly a full turn to 5.9 times at year-end. As a result, we received the triple B flat rating with a stable outlook from both S&P and Fitch. Our investment-grade ratings provide us with access to new forms of capital and, as demonstrated by the terms of our new unsecured credit agreement, significantly improved our cost of debt capital. We enter 2025 with high sustainable occupancies, strong leasing momentum, and a balance sheet geared for growth. Our business strategy is very simple: drive NOI and core FFO growth by delivering rental rate growth at our existing properties and deploying capital into new strategic investments. Supply and demand fundamentals have improved meaningfully compared to a year ago and support our expectation to capture higher rents without sacrificing occupancy. We expect a couple of our markets to continue working through the tail end of new supply. These include Denver and Charlotte, which are forecasting supply to increase 5.4% on a combined basis this year. On balance, however, we expect a steep decline in new deliveries across our market in 2025 and for the pace of new deliveries to decline even further in 2026. Looking at CoStar data, new supply in our same-store market increased 6.2% in 2024, while 2025 is now forecasted to increase by only 2.1%, a 60% decrease in part making the deliveries. In 2026, the pace of new deliveries is forecasted to further decrease to 1.5% of existing units. Across our top ten markets, which generate nearly 75% of total NOI, supply increased 5.8% during 2024 but is forecasted to increase by just 1.8% and 1.3% in 2025 and 2026, respectively. From a demand perspective, our markets continue to benefit from population growth due to lower cost of living and higher job growth than the national average. In addition, our portfolio of high-quality, largely Class B communities in the Sunbelt and Midwest markets represents a strong value proposition for residents, which further supports demand. In light of continuing strong demand and a significant decline in supply, we expect to employ greater pricing power without sacrificing occupancy in 2025, a dynamic that should accelerate during the year and as we advance into 2026. In terms of deploying capital in 2025, we have nearly three-quarters of a billion dollars of liquidity, including $156 million available on our forward equity commitments. This liquidity will be used to fund strategic investments and drive growth. As Jim will discuss in further detail, we intend to increase the number of value-add renovations that, on average, have generated ROIs in the mid to high teens and to pursue additional accretive acquisitions. Before handing the call over to Jim, I want to state how proud I am of the IRT team's hard work and dedication throughout 2024. Their efforts made it possible for us to achieve the strategic milestones that are essential building blocks of our future growth. I'll now turn the call over to Jim.
Jim Sebra: Thanks, Scott, and good morning, everyone. Core FFO per share during the fourth quarter of 2024 was $0.32 and grew 6.7% over the prior year period. For the full year, core FFO per share was $1.16 and came in at the high end of our guidance range. Core FFO growth in 2024 was driven by solid same-store NOI, which grew 3.2%. During the fourth quarter, IRT's same-store NOI increased 5.3%, driven by revenue growth of 2.3% and a 3% decrease in same-store operating expenses over the prior year quarter. Revenue growth was led by an increase in average effective monthly rent of 80 basis points as well as a 100 basis point increase in occupancy. As compared to the prior year, the quarter-over-quarter decrease in operating expenses was due to lower property insurance and repairs and maintenance costs. For the full year 2024, IRT's same-store NOI increased 3.2% and was driven by a 3% increase in revenue. Average effective monthly rent increased 1.3% during the year, and average same-store occupancy rose 110 basis points. While several categories of operations have increased, we were able to secure lower property taxes on a year-over-year basis. Regarding recent leasing trends, while supply pressures are reducing, they continue to impact new lease rental rates in the fourth quarter as well as so far in early 2025. Going forward, while we may provide broad commentary on rental rate trends, we will no longer be providing monthly information and instead continue to focus on managing rental rates and occupancy to maximize rental revenue through time. With that said, on our light-tone leases for Q4 of 2024, our blended rental rate growth was flat, with new lease rates down 4.6% and renewal rents up 5.4%. Regarding leasing activity so far in 2025, new lease rates in January continued a similar negative seasonal trend that we saw in Q4, but these trends are improving with rents continuing to expire in January and February. Our renewal rental rate growth in 2025 is also continuing the positive trends we've experienced in Q4. In a moment, we will provide full-year guidance information and specifically cover our expectations for 2025. Turning to our balance sheet, during 2024, we reduced total debt by over $200 million and improved our net debt to adjusted EBITDA ratio to 5.9 times, down from 6.7 times a year ago. This outperformed our goal to achieve 6 times at year-end. During 2025, we intend to further improve our net debt to EBITDA ratio to the mid-5s as NOI and EBITDA continue to grow. When looking at debt maturities between now and the end of 2027, we have less than 18% of our total debt scheduled to mature. This low level of debt maturity is among the lowest of our public apartment peers. As Scott mentioned, and it is worth repeating, during 2024, we achieved a significant milestone with respect to our balance sheet management. Today, we are an investment-grade issuer with BBB ratings from both Fitch and S&P. As previously noted, while these ratings open up a new source of capital for IRT, the public debt markets, this achievement also resulted in an immediate reduction of our interest rate on our unsecured bank borrowings by 34 basis points. Earlier this year, we further strengthened our liquidity and financial flexibility by increasing the borrowing capacity under our revolver from $500 million to $750 million and extending its maturity to 2029. As of today, we have nearly three-quarters of a billion dollars of liquidity consisting of $21 million of unrestricted cash, $494 million available under our unsecured revolver, and $156 million of available proceeds under the forward equity agreement from Timber. As a result, we have ample dry powder to invest accretively. During the fourth quarter, we classified a legacy steadfast asset, which is our final property in Birmingham, as held for sale and recognized an impairment of $21 million. We intend to recycle the equity from this asset into the purchase of the community we have under contract in Indianapolis later this month. On the acquisition front, we acquired $158 million in properties during Q4, using $112 million of equity from our forward equity raises and $46 million in debt. The blended economic cap rate on these acquisitions was 5.7%, and as Scott mentioned, increases our exposure in Orlando and Charlotte. Turning to our outlook for 2025, we entered the year with strong occupancy momentum and operating fundamentals that support market rent growth. Accordingly, we expect to drive value for IRT by optimizing leasing economics through capturing higher rates, diligently managing expense growth, and investing capital in our value-add program and new acquisitions. We are establishing full-year EPS guidance of $0.19 to $0.22 per share and core FFO guidance in the range of $1.16 to $1.19. The bridge from a $1.16 starting point of core FFO in 2024 to the $1.175 midpoint of our 2025 guidance includes the following components: $0.03 of accretion from NOI growth from our existing same-store portfolio, half a penny from our acquisitions completed in the fourth quarter of 2024 and the acquisitions we intend to complete in 2025, offset by half a penny of increased overhead costs and $0.01 of dilution from 2024 asset sales and deleveraging. Our 2025 same-store NOI guidance assumes same-store NOI increases 2.1% at the midpoint, driven by 2.6% same-store revenue growth that factors in the following components: 30 basis points from higher average occupancy, as we are assuming an overall occupancy of 95.5% in 2025 at the midpoint; 50 basis points from lower bad debt, as we are assuming bad debt is 1.4% of revenue; 60 basis points of earnings from 2024 and lower concessions; 35 basis points of benefit from our value-add renovations; 25 basis points from other income; and finally, our expectation for blended rental rate growth of 1.6% for 2025. We expect the majority of the blended rental rate growth to be weighted in the second half of 2025, such that the actual benefit received in 2025 is closer to 60 basis points. For our value-add investment, we expect to renovate approximately 2,500 to 3,000 units during the year. As we've noted in the past, the number of units renovated will vary due to resident retention levels and the timing of new renovation starts. Looking at expense growth in 2025, at the midpoint of guidance, we expect same-store operating expenses to increase 3.5% based on a 3.8% increase in controllable expenses and a 3.1% increase in non-controllable expenses. G&A and property management expense guidance for the full year is $56 million, reflecting standard inflationary growth. We forecast slightly higher interest expense of $89 million at the midpoint, reflecting the additional interest expense from future acquisitions. During 2025, we plan to use the remaining $156 million available under our forward equity agreements along with low amounts of leverage to acquire approximately $240 million in properties and assume an economic cap rate in the mid-5s. These acquisitions are modeled using the mid-year convention and are incremental to the acquisition we are making in Indianapolis, as that is a recycling of capital from the sale of our last asset in Birmingham. Scott, back to you.
Scott Schaeffer: Thanks, Jim. I'm proud of our 2024 accomplishments, the portfolio we have created, and our dedicated team who continue to deliver outstanding results. We've proven the resiliency of our business model in the face of heavy supply headwinds, as demonstrated by our solid same-store NOI growth, occupancy gains, and rental rate growth. We delivered core FFO per share that was at the high end of guidance, and we reduced our net debt to adjusted EBITDA to 5.9 times, resulting in a strong investment-grade rated balance sheet. Looking into the future, we believe that we are at the beginning of a multi-year period of improving fundamentals and growth for the multifamily sector. We expect our portfolio of high-quality communities in non-gateway markets to experience stronger rent growth and higher occupancies than the national average. We look forward to capitalizing on this growth for shareholders as we manage through 2025 and head into an even stronger growth opportunity in 2026. We thank you for joining us today and look forward to seeing many of you at Citi's Global Property CEO Conference next month. Operator, you can now open the call for questions.
Operator: Thank you. As a reminder, if you would like to ask a question, press star followed by the number one on your telephone keypad. We ask that you limit yourself to one question and a follow-up. We'll pause for just a moment to compile the Q&A roster. Your first question is from the line of Austin Wurschmidt with KeyBanc Capital Markets.
Austin Wurschmidt: Hey. Good morning, everybody. Jim, you flagged new lease rate growth remains negative early this year. I think you said it's gradually improving. Early 2025. What does guidance assume for new lease rate growth this year, and how does that sort of play out through the year? And then could you also share whether that includes the benefit as well from the value-add redevelopment that you provided?
Jim Sebra: Yeah. No. Great question, Austin. And good morning, everybody. So in guidance, we've assumed a blended lease rate growth of 1.6% for the year, that excludes any benefit from the value-add and, obviously, other income benefits. Of the 1.6%, that assumes a renewal growth of 3%, a 55% retention rate, and a 0% new lease growth over the year. Obviously, we're starting the year slightly negative, and it will continue to move north to zero by kind of early leasing season in April. This is new leases, obviously, in early April, and then obviously end of year positive.
Austin Wurschmidt: That's helpful. And then just a question on investments I had. Can you just talk about sort of the investment pipeline? Has that started to pick up, I guess, in terms of the transactions out there today? And, you know, how are you thinking about the markets that are most appealing as well as the types of assets? Are these Class A, you know, recently developed assets that may still be in lease-up, or are they more of a, you know, Class B that, you know, you can kind of continue to backfill the value-add redevelopment pool? Thank you.
Scott Schaeffer: Hi, Austin. It's Scott Schaeffer. When we raised the capital last fall, we really were intent on building a pipeline then to put it to work. And we've accomplished that. We have a very fulsome pipeline of both new construction communities that are in lease-up and also some existing Class B. We're actually starting to see, you know, a little bit of distress and the effects of the higher interest rates. So many of the communities that we have in the pipeline are, we think, are becoming available because of financing that's coming to maturity and needs to be, you know, replaced. And can't be replaced at existing rates. And also new construction that, you know, the construction loans are just much higher cost than what was underwritten. And, you know, people are looking to move those assets more quickly than they might otherwise do. So we have a very fulsome pipeline. We're very confident at putting that capital to work very accretively.
Operator: Your next question is from the line of Eric Wolfe with Citi.
Eric Wolfe: Hey. Thanks. Can you talk about why you're increasing the value-add spend in 2025? And I think your guidance is based around 30 bps of occupancy growth, if I got that right. So just how you're gonna achieve that even with the sort of increase in value-add spend that I think typically brings sort of a longer-term time more downtime. Because I think in the past, one of the things you've been hesitant about doing increasing the value-add spend is that sort of lower occupancy that you get with it. So just talk about how comfortable you are predicting sort of occupancy growth with the increase in the average spend.
Scott Schaeffer: Good morning, Eric. You know, in past years, we've always targeted the 2,500 to 3,000 units. In 2024, we ended up doing less than that just because of this pressure from new supply. And we didn't want to spend the capital to renovate a unit and have it be competing with all the new supply that was offering concessions. So we purposely dialed back the number of value-add units that we completed. But as we see supply pressure waning going into 2025 and now and clearly in 2026 and 2027, and rents going up, we intend on doing more value-adding and take advantage of those dynamics.
Jim Sebra: Yeah. And just a follow-up, Eric. We are planning to start 15 new communities in 2025. So the potential pressure on occupancy from the downtime will be dispersed amongst the greater, you know, volume of properties, and it won't be as significant. But we can still hit the 2,500 to 3,000 volume metric.
Eric Wolfe: Got it. That's helpful. And then as far as the bad debt, it looks like it was up sequentially in the fourth quarter. Can you just talk about what caused that and, you know, what gives you the confidence to predict, you know, call it around 50 bps of average bad debt improvement throughout 2025?
Janice Richards: Sure, Eric. This is Janice. For bad debt, it's really more of a timing situation moving into the fourth quarter with seasonality. We, you know, worked through the markets. Atlanta and Memphis were, you know, hit with that timing situation. I see that, you know, it's going to normalize, and we're gonna hit that 1.4% through the year.
Jim Sebra: And I think this is a follow-up, you know, I think, you know, a lot of the things that we put in place over the past, call it, year, year and a half to really kind of identify the fraud that's occurring in some of these markets are really beginning to kind of hold their teeth. And, obviously, it takes a little time from when a resident gets in to get them out. And then, you know, obviously, let the tools work to get the new resident in. And, you know, we're seeing the volume of residents kind of moving into the eviction queue, you know, lowering such that we're pretty confident in our ability to hit the 1.4% this year.
Operator: Your next question is from the line of Brad Heffern with RBC Capital Markets.
Brad Heffern: Hey, Brad. I know you didn't want to talk about spreads, but I'm curious if you can just qualitatively talk about how the start of the year compares to last year and maybe a normal year in the Sunbelt trying to gauge how much the supply impact is fading.
Jim Sebra: Brad, sure. Great question. I would say that certainly the new lease spreads are certainly lower this year than they started last year at. But I would say, you know, the trends that we're seeing in the fourth quarter are certainly, you know, continuing into January, February, but as I mentioned in all the prepared remarks, you know, rents are rising into February here. So we're, you know, we're seeing that, you know, improvements in the negative new lease trade-out. On the renewal side, renewals are slightly lower, I'm sorry, slightly higher earlier this year as compared to last year simply because we've got concessions burning off and we're benefiting from that. But we're quite excited about, you know, kind of what we're seeing in the trajectory here, and we're looking forward to kind of delivering on our guidance.
Brad Heffern: Okay. Got it. And then on the blends guide, 1.6%, I think that's just right in the middle of our Camden and MAA. I guess I would've thought you might have been higher than them just given the Midwest exposure. I know you can't speak to exactly why they're guiding what they're guiding to, but do you think that's a more conservative figure than your peers? Maybe is it partially the occupancy growth that you're targeting or any other color you provide around that?
Jim Sebra: Yeah. I think that's a fair assessment. You know, we're always trying to, you know, manage rents and occupancy to maximize revenue through time. And given that, you know, kind of expectation we have on maintaining and managing that higher occupancy, we're just being a little more conservative in the rent growth trajectory that we see developing. And obviously, we'll continue to manage it to maximize revenue through time.
Operator: Your next question is from the line of Rich Hightower with Barclays.
Rich Hightower: Good morning, guys. I just want to go back to the same-store build-up really quickly. I think you said a 55% retention assumption for the year, and obviously, that's, you know, down materially from where you ended 2024. And so is that, you know, related to the value-add displacement? Is that something else driving that specifically in particular?
Jim Sebra: Yeah. No. I think we always kind of target 55% in terms of retention each quarter. I would say that, you know, some quarters bounce around. I think the fourth quarter was 51%. The third quarter was 57%. I think largely for 2024, we are in that 55% zone.
Rich Hightower: Okay. Maybe I misheard earlier. Okay. And then just on the expense guide, maybe just help us understand, you know, especially on the controllable side of things, you know, why that is in particular, you know, elevated relative to non-controllables this year. In terms of 2025 guidance?
Jim Sebra: Yep. That's right. Yeah. But I think it's more, you know, in our non-controllable, we're assuming a 0% property tax increase, which is, you know, causing the pace of growth to be slightly lower on the non-controllable side than the controllable side.
Operator: Your next question is from the line of Ann Chan with Green Street.
Ann Chan: Hey. Good morning. Can you give us a rough sense of the NOI margin benefit to your existing properties in your subscale markets when you acquire an additional property and meaningfully expand that unit count in those markets on a percentage basis?
Jim Sebra: Yeah. I mean, I think, you know, obviously, from the standpoint of the acquisition, as we, you know, bring something in-house that was previously owned, maybe not managed well, you know, once we get on our platform and then kind of be able to benefit from the scale of, you know, better contracts, certainly it's improving. I don't have the exact NOI benefit in front of me, but we've been able to see our ability to either keep increases of expenses in the side either kind of muted throughout, you know, from year to year. When we start adding, you know, significant scale. Or even try to make them go down, but I can get back to you specifically with what we see as an NOI, you know, margin increase.
Ann Chan: Great. Thanks. One more from me. Help me break out the 2.6% expected revenue growth for 2025 between Sunbelt markets and the Midwest region.
Jim Sebra: Sure. The 2.6% for the Midwest is 3.4%. Sunbelt is 2.2%, and what we call West or Denver is 2.2%.
Operator: Your next question is from the line of Barry Oxford with Colliers.
Barry Oxford: Great, guys. Thanks for taking the call. On the acquisitions, just to kind of drill down a little more on that, on the distressed properties that you're seeing. Are cap rates rising? And if so, by about how much maybe versus, you know, six months ago that you might have seen?
Scott Schaeffer: Good morning. The cap rates we're seeing have been pretty stable in the, you know, the mid-5s. The property that we're buying in Indianapolis is about a 5.7 cap. The ones that we purchased in Charlotte and Orlando are similar. You know, obviously, the cap rates follow the ten-year up and down with a little bit of a lag. And, you know, while we might have seen cap rates drop at the end of last year and then increase this year with the ten-year, what we're seeing is just more properties and more opportunities come to market. But the cap rates are really pretty static in the mid-5s.
Barry Oxford: Great. Thanks, guys. Appreciate it.
Operator: Thank you. Sure thing. Your next question is from the line of Michael Gorman with BTIG.
Michael Gorman: Yeah. Thanks. Good morning, Scott. Maybe sticking with that question for a second there. When you think about the cap rates you're talking about on new investments, you talked about acquiring properties in lease-up. I just wanted to make sure I clarified. Is that a stabilized number, or is that a going-in number? And then how do you think about value-add potential in the future when you think about those investment yields on a going-in basis?
Scott Schaeffer: So when we typically buy in lease-up, we're really buying late in the lease-up process, so it's close to stabilization. But we do look to have some benefit as we take occupancy from 80 or 85 up to that 95% level. So, you know, the 5.5, 5.6, 5.7 is really going in, and then we're looking to get it a little higher than that once the property is stable. And as far as the value-add, you know, the value-add has always been our best use of capital, and we've been able to generate those high mid to high teens returns on ROI. That's what we're seeing continuing. That's, again, on an unleveraged basis. So we're excited about the supply pressure of 2024 and 2023 being largely behind us. But we really can ramp that value-add back. The value-add, the number of value-add renovations back to where we want it to be in that, you know, high 2,000 to 3,000 unit number.
Michael Gorman: That's great. And then maybe just one more on the value-add. Are you seeing more competition for those assets in the market? Just, you know, with the challenges in getting new development going? Are you seeing any traditional development players more at some of the value-adds since they can't get financing or approvals for new ground-up development? Is there more competition in that acquisition pool?
Scott Schaeffer: No. If anything, I would say there's less. You know, it's funny. I always look back and think the world got a little upside down a few years ago. When cap rates really compressed and interest rates were very low. Everybody was looking at doing the value-add because money was free and you could generate these high yields. And cap rates actually on B-class units then went lower than what, you know, a new construction A-class unit was trading for. But now we're seeing it more in line. But I don't think there's any more competition to purchase, you know, value-add community today than there has been in the past. If anything, maybe a little less.
Operator: Your next question is from the line of Linda Tsai with Jefferies.
Linda Tsai: Yes. Hi. Could you remind us what bad debt was last year and how much it contributed to your same-store growth in 2024?
Jim Sebra: Bad debt last year was 1.9% of revenue. I'm going to have to double-check this, but I believe it was 2.2% in 2023. So it contributed roughly 30 basis points of growth in 2024.
Linda Tsai: Thanks. And then where do you expect to end the year in terms of leverage?
Jim Sebra: So I apologize. The phone broke up there. Where do we expect to end the year in terms of leverage?
Linda Tsai: Yes.
Jim Sebra: Yeah. We said mid-5s, so that could be 5.6-ish. Probably, 5.7-ish. It could be 5.5.
Operator: Your next question is from the line of Omotayo Okusanya with Deutsche Bank.
Omotayo Okusanya: Hello? Can you hear me?
Scott Schaeffer: Yep. Hey, Tayo. Good morning.
Omotayo Okusanya: Oh, perfect. Good morning, everyone. How are you, Scott? How are you doing?
Scott Schaeffer: Doing well, thank you.
Omotayo Okusanya: So the same-store OpEx guidance for the year, again, it kind of seems like a normalization of same-store OpEx growth. You guys did a fantastic job last year of controlling the controllables. I'm curious what kind of initiatives are in place for 2025 to, quote, unquote, control the controllables and what are the factors that will determine whether you end up on the high end or low end of that same-store OpEx guidance?
Janice Richards: Absolutely. So we had the fundamentals in place as we did in 2024 and 2025 to ensure that we are spending smartly and we are basing the dollars to really enhance the resident experience. And ensure that we can maintain that retention level at a high place. Dependent upon how that goes and if there are any inflationary costs that we have to come into play, we may or may not see that that comes in at a high level, but we anticipate it to come in in the middle based on our guidance. And we will march forward as we did in 2024 with a very controlled approach.
Jim Sebra: Yeah. And, Tayo, just as a follow-up, we obviously use, we have an internal procurement team that is constantly renegotiating things for us. So we have a lot of really good, you know, policies and not just the policies, processes in place to, you know, really kind of fine-tune and manage expenses as best as possible. But, of course, as Janice mentioned, you know, trying to keep the resident experience to the forefront of our perspective.
Omotayo Okusanya: Thank you.
Operator: Your next question is from the line of John Kim with BMO Capital Markets.
John Kim: Good morning. Jim, you mentioned on your guidance that you're expecting renewals at 3% and you signed 5.4% in the fourth quarter. Got over 4% for the year. So why are you expecting us to moderate so much? And maybe if you could tell us where you're sending out renewals today.
Jim Sebra: Yeah. We sent renewals out for the month of April in the kind of 3, 3.5% range. The first half of May has also gone out in that same range. And it's just, John, we're just kind of, you know, we just exited a period of time that was never really seen in history before. We're kind of entering into a period of time where we've never necessarily seen the low supply. We're just trying to be, you know, thoughtful in terms of our guidance so we deliver on the promise. To be successful, we can deliver above it, we will.
John Kim: And then when you look at your value-add versus your same-store performance, the spread on blended is about 100 basis points. It's positive 70 basis points versus negative 30 for your same-store. Historically, that spread has been wider, and I know you're still getting high returns on your invested capital. Is that low spread due to fewer renovated units per community? Or is there something some other factor that's driving that lower? And do you expect that to evaluate unit communities to drive the blended, stronger in 2025?
Jim Sebra: Yeah. Generally, when you look at that, you know, the new lease rate growth that we disclosed in our supplement for the value-add community, that obviously includes all leases in the properties as they're in the renovation program. So when you kind of break that new lease growth out into that, which is, call it, first-turn generation or what we call first-generation renovation leases versus second-term, meaning it's a unit that was renovated two or three years ago and it's just turning. That's at least the resident left. You know, the new lease spread on the first generation in the fourth quarter was flat at 0%. And I think, you know, what you would see is if we weren't spending the money on the renovation, that rents would actually be more negative. Right? And I think what we've, you know, kind of tried to show over the years is, you know, even though we would do that, what happens, we try to remove the market ups and the market downs from the calculation of the top.
Operator: That does conclude the Q&A portion of today's call. I would now hand today's event back over to Scott Schaeffer for his closing remarks.
Scott Schaeffer: Well, thank you all for joining us this morning. We look forward to speaking with you again in three months' time. Have a good day, everyone.
Operator: Thank you for joining today's call. You may now disconnect.